Operator: Good day. Thank you for standing by. Welcome to WM Fourth Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions] Please note that today’s conference may be recorded. I would now like to end the conference over to your speaker host, Ed Egl, Vice President of Investor Relations. Please go ahead.
Ed Egl: Thank you, Olivia. Good morning, everyone, and thank you for joining us for our fourth quarter and full year 2024 earnings conference call. With me this morning are Jim Fish, President and Chief Executive Officer; John Morris, Executive Vice President and Chief Operating Officer; and Devina Rankin, Executive Vice President and Chief Financial Officer. You’ll hear prepared comments from each of them today. Jim will cover high-level financials and provide a strategic update. John will cover an operating overview and Devina will cover the details of the financials in our 2025 outlook. Before we get started, please note that we have filed a Form 8-K that includes the earnings press release and is available on our website at www.wm.com. The Form 8-K, the press release, and the schedules of the press release include important information. During the call, you’ll hear forward-looking statements which are based on current expectations, projections or opinions about future periods. All forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially. Some of these risks and uncertainties are discussed in today’s press release and in our files with the SEC, including our most recent Form 10-K and Form 10-Qs. John will discuss our results in the area of yield and volume, which, unless stated otherwise, are more specifically references to internal revenue growth or IRG from yield or volume. During the call, Jim, John and Devina will discuss operating EBITDA, which is income from operations before depreciation and amortization. You will also hear references to WM Healthcare Solutions. This new segment includes the acquired Stericycle medical waste and secure information destruction businesses. References to the WM Legacy Business are total WM results excluding the WM Healthcare Solutions segment. Any comparisons, unless otherwise stated, will be with the prior year period. Net income, EPS, income from operations and margin, operating EBITDA and margin, operating expense and margin, and SG&A expense and margin results have been adjusted to enhance comparability by excluding certain items that management believes do not reflect our fundamental business performance or results of operations. These adjusted measures and adjusted projections, in addition to free cash flow, are non-GAAP measures. Please refer to the earnings press release and tables, which can be found on the company’s website at www.wm.com, for reconciliation to the most comparable GAAP measures and additional information of our non -- our use of non-GAAP measures and non-GAAP projections. This call is being recorded and will be available 24 hours a day beginning approximately 1 p.m. Eastern Time today. To hear a replay of the call, access the WM website at www.investors.wm.com. Time-sensitive information provided during today’s call, which is occurring on January 30, 2025, may no longer be accurate at the time of a replay. Any redistribution, retransmission or rebroadcast of this call in any form without the express written consent of WM is prohibited. Now I’ll turn the call over to WM’s President and CEO, Jim Fish.
Jim Fish: All right. Thanks, Ed. Good morning, everyone, and thank you for joining us today. I’m pleased to report another year of outsized operational and financial performance driven by our team’s focus on topline growth and cost discipline. This combination, along with our ongoing investments in technology, automation and sustainability, have positioned WM to continue delivering long-term value to our shareholders. In 2024, we remained dedicated to optimizing the cost structure, expanding our sustainability platform and enhancing shareholder returns. This focus led us to achieve operating EBITDA growth of more than 10% in our Legacy Business for the year and achieving 30% full year operating EBITDA margin for the first time in our history. Our Collection and Disposal business led the way, driven by consistent organic revenue growth, disciplined cost initiatives and a continued focus on business mix optimization. 2024 marked a year of significant milestones in progressing sustainability growth investments. We brought five renewable natural gas facilities online, expanding our renewable energy platform and further positioning WM as a leader in environmental sustainability. And we’re confident in the demand for renewable natural gas, especially from sources like our landfills and in our overall investment thesis for these transformative assets. Additionally, in 2024, we advanced automation upgrades at 10 recycling facilities, improving throughput and lowering operating costs across our recycling network, and added recycling facilities in two new markets. These investments are unlocking opportunities with customers and delivering positive environmental outcomes while also putting us on a path to broader long-term financial growth. We’re progressing well on the remaining renewable natural gas and recycling projects and expect our growth investments to contribute operating EBITDA approaching $800 million in 2027. We have a great deal of confidence in the value of these projects that are underway, and we’re enthusiastic about the strong complement they provide to our existing business. In addition to achieving strong organic growth across our business in 2024, it was a sizable year for acquisitions, including the successful completion of the Stericycle acquisition in November. Adding Stericycle’s leading platform in medical waste management and secure information destruction to WM broadens our suite of solutions, allowing us to more comprehensively serve our customers across a wider range of environmental services. Our integration efforts are underway, and in a short three months, we’ve integrated the commercial operations support and back office functions into WM’s structures, led by our season’s disciplined leaders. One of our new employees summed up our excitement for this acquisition saying, it really feels good to be working for a management team that’s looking to grow and optimize the business. We have a well-resourced, experienced WM team engaged in making the necessary operational and cultural changes, and we’re encouraged by the progress we’ve made so far. With respect to synergy capture, we now expect $250 million of synergies over a three-year period and we’re confident we can deliver up to $100 million in 2025. The WM Healthcare Solutions business is expected to grow about 9% before synergies, driven by organic revenue growth and operations initiatives. Overall, we remain confident and focused on ensuring a smooth transition for both employees and customers, while driving synergies and unlocking value. This acquisition exemplifies our disciplined approach to capital allocation and strategic growth, and we’re excited about the long-term benefits it will bring to WM. Looking ahead to 2025, we’re confident that the momentum we’ve built will lead to another year of outpaced growth. At the midpoint of our guidance, we expect our Collection and Disposal business to produce more than 7% operating EBITDA growth in the year ahead, even as we face a headwind from the expiration of alternative fuel tax credits. Our disciplined focus on pricing and cost management will ensure that we maintain healthy margins with a positive price-to-cost spread. Our renewable energy and recycling platforms will continue to scale, with additional projects coming online and incremental contributions from sustainability investments expected to accelerate this year, adding $150 million to operating EBITDA growth in our sustainability segments. Combining all of this, we expect to deliver total company operating EBITDA growth of 15% at the midpoint of our range or nearly $1 billion of growth in 2025 compared to 2024. Before I turn the call over to John to cover operating results, I want to express my gratitude to the entire WM team, including our new team members from Stericycle. Their commitment to our mission and values continues to be the foundation of our success. As we look forward, we’re excited about the opportunities ahead and remain steadfast in our goal of creating long-term value for all of our stakeholders. I’ll now hand it over to John to provide more detail on our operational performance.
John Morris: Thanks, Jim, and good morning. Before discussing our performance, I want to thank our team for their dedication during the devastating California wildfires. These fires have impacted our employees and the communities we serve, and we’re committed to supporting recovery efforts and restoring normalcy for everyone affected. Turning to our results, WM delivered another fantastic quarter to close 2024, reflecting our focus on operational discipline and price execution. Operating expenses as a percentage of revenue were 60.3%, marking the fifth consecutive quarter below 61%. Our full year result of 60.7% was below 61% for the first time in WM’s history and improved 100 basis points from 2023. This improvement was driven by strong execution by our team, as well as automation and technology adoption. Labor efficiency continued to improve during 2024, with labor costs as a percentage of revenue declining by 60 basis points for the full year compared to 2023, which is particularly notable considering the dilutive impacts from the Winters Brothers and Stericycle acquisitions. Our labor cost improvements stem from our commitment to human-centered leadership, process discipline, and importantly, the introduction of technology that allows our operational leaders to spend more time in the field. Our annualized driver turnover as of December was the lowest ever at 15%, marking an improvement of over 300 basis points from 2023. Additionally, advances in route automation and resource planning tools have driven labor savings. Since we started our residential optimization effort in 2022, we have automated over 500 residential routes and exited an additional 400 routes where conversion was not an option or profit margins were challenged. The outcome has been reduced labor dependency while greatly enhanced safety performance and improved customer service. Combining these efforts have translated in our residential line of business operating EBITDA margin, growing more than 400 basis points and approaching 20% for the full year. We’re pleased with the considerable progress we made in 2024 on automating routes, shedding lower margin business and improving driver turnover, and will be focused in the year ahead on maintaining the value we’ve captured from these efforts. Repair and maintenance costs also declined as a percentage of revenue thanks to increased truck deliveries, fleet optimization, and a streamlined maintenance approach that increased technician productivity and reduced reliance on rental units and third-party services. We remain focused on optimizing our business using data, technology and process discipline to enhance our customers’ experience while reducing our cost to serve. Our operational achievements combined with discipline pricing led to a 10.4% growth in operating EBITDA in our Collection and Disposal business in 2024, achieving a 37.2% margin for the year, our highest ever. These results exceeded our original growth projections with margins expanding 200 basis points and delivering nearly $700 million in operating EBITDA growth in our Collection and Disposal business. This is impressive performance and -- this impressive performance underscores our team’s focused execution of strategic priorities. Our revenue grew across all lines of business supported by a Collection and Disposal yield of 4.5% and core price of 6.7% with churn remaining at about 9%. We continue to refine the use of data and analytics to maximize customer lifetime value to deliver pricing performance in line with our cost to serve our customers while meeting our margin objectives. Throughout the year, volume grew consistently in our key lines of business, commercial and MSW landfill. Our workday adjusted volume finished the year as expected and net service increases remained positive. For the year, MSW volumes grew steadily with an observed acceleration in the second half of the year. The 4.4% annual increase in MSW volumes demonstrate the value of expand -- our expanding network and logistical capabilities as evidenced by our expanded rail operations serving the Midwest. Special waste also showed positive momentum indicating growth potential for 2025 as our pipelines remain strong. While our industrial business remains soft, we are rolling out disciplined growth programs to enhance volume capture at appropriate pricing levels which gives us confidence in our outlook for 2025. As we look ahead to 2025, our focus is on building upon our success in 2024. Our priorities include further improving operational efficiency in our core Collection and Disposal business and maximizing growth opportunities from acquisitions and sustainability investments. Additionally, our core fleet, business optimization, and revenue management leadership are now embedded into the WM Healthcare Solutions organization, driving a disciplined integration process. With these efforts, we are confident in our ability to drive continued revenue and operating EBITDA growth while delivering value to our shareholders and customers. At the midpoint of our guidance, we expect sustained momentum in our disciplined pricing programs resulting in a core price increase of between 5.8% and 6.2% and yielded between 4% and 4.2% with Collection and Disposal volume between 0.25% and 0.75% compared to 2024. We remain committed to maximizing customer lifetime value, securing pricing that exceeds our cost inflation, and driving disciplined volume growth. In closing, I extend my gratitude to our dedicated team members whose hard work and commitment have been instrumental in our success. Together, we’ll continue to build on this year’s achievements, striving for excellence in all that we do. I’ll now turn the call over to Devina to discuss our 2024 financial results and 2025 financial outlook in further detail.
Devina Rankin: Thanks, John, and good morning. We’re proud of our 2024 results, building on our commitment to operational excellence, sustainability leadership and shareholder value creation through targeted growth. We improved operating EBITDA margin by 80 basis points for the year. This strong result was driven by margin expansion of 200 basis points in the Collection and Disposal business with about 180 basis points from the benefits of price, cost optimization and intentional shedding of low margin residential business. The remaining improvement in Collection and Disposal margin was from lower fuel costs. The record growth from Collection and Disposal business -- our Collection and Disposal business was partially offset by the impact of higher commodity pricing in the recycling brokerage business, increased incentive compensation costs, higher employee health and welfare costs, and the addition of Stericycle, each affecting the margin measure by about 30 basis points. Cost efficiency remained a central theme in 2024. Our SG&A as a percentage of revenue was 9.6% for the full year, including a 30-basis-point headwind from the addition of WM Healthcare Solutions. Compared to 2023, we achieved a 10-basis-point improvement in SG&A as a percentage of revenue for our Legacy Business, largely through discipline and discretionary spending and targeted optimization of customer engagement costs. Our strong operating performance translated into robust cash flow generation in 2024. Cash flow from operations grew more than 14% to $5.39 billion, and free cash flow before sustainability growth investments reached $3.27 billion, marking a 22.5% increase over 2023. These outcomes highlight our focuses on margin expansion, working capital optimization and disciplined capital expenditure investment. In 2024, we returned $1.47 billion to shareholders, including more than $1.2 billion in dividends. Additionally, we acquired Stericycle and invested about $800 million in tech and acquisitions to expand our traditional solid waste and recycling footprint, all while funding $950 million in sustainability growth initiatives. Our disciplined approach to allocating capital prioritizes growing shareholder returns by identifying investment opportunities that will drive long-term growth at attractive returns. The strategic growth of our sustainability business and a targeted investment in healthcare demonstrate this focus, and we expect 2025 to be a year of outsized operating EBITDA growth as a result. As Jim outlined, we expect to grow operating EBITDA by 15% in a year, which we anticipate translating into robust cash from operations and free cash flow. Capital expenditures for 2025 are targeted at between $3.175 billion and $3.275 billion, with about $625 million directed toward high-return sustainability growth projects and about $225 million for our WM Healthcare Solutions business. We expect free cash flow to grow more than 17% to $2.725 billion at the midpoint of our outlook. This outlook includes an anticipated benefit from investment tax credits of about $220 million. WM’s strong balance sheet and our cash flow growth outlook position us to continue our commitment to sound capital allocation. Our outlook includes $100 million to $200 million of investment in solid waste acquisitions and estimated dividend payments of about $1.3 billion. We’ve paused share buyback as we expect to focus on getting the balance sheet back to targeted leverage levels with a combination of earnings growth and debt reduction. By the end of 2025, we expect leverage to be approximately 3.1 times. In summary, 2024 showcased the strength and resilience of WM’s people and our business model, driven by our commitment to operational excellence, disciplined capital management and sustainability leadership. I’d like to extend my gratitude to our dedicated team members whose hard work make these achievements possible. We’re excited about the opportunities ahead and confident in our ability to deliver strong results for 2025 and in future years. With that, Olivia, let’s open the line for questions.
Operator: Certainly. [Operator Instructions] And our first question coming from the line of Tyler Brown with Raymond James. Your line is now open.
Tyler Brown: Hey. Good morning.
Jim Fish: Good morning.
John Morris: Good morning.
Devina Rankin: Good morning.
Tyler Brown: Hey. I promised to ask a question on the business, but Devina, can you help me with a couple of bridge items? So, first, I think, I heard it, but you are assuming a C&D tax credit headwind. Is that correct and is that like $60 million?
Devina Rankin: Yes. That’s correct. It’s a $63 million headwind in dollars and a 30-basis-point headwind in margin.
Tyler Brown: Excellent. Okay. And then on Stericycle, I think, you’re including $400 million of incremental EBITDA, which means you’re going to do something like $460 million, if I take the Q4 number.
Devina Rankin: That’s correct.
Tyler Brown: Is that -- okay. So, number one, is that including $100 million of realized synergies or is that a run rate? And then two, was there a definitional change in how you calculate EBITDA for Stericycle versus their convention, because it feels like the base EBITDA is just lower than what they were reporting or am I off on that?
Devina Rankin: Yeah. Those are great questions, Tyler, and thanks for pointing them out. So, I’ll take the second one first. And yes, there was a definitional change in EBITDA between the two companies. We have, I would say, I guess, a more conventional approach to what we adjust out of earnings and we found that they adjusted things that look more like normal course of business costs and so we’ve recast that. And so, the 2024 run rate number that we had for the business exiting the year was representative of that $61 million, with about $4 million of realized synergies in the fourth quarter for us. And so, I would recommend using that as the starting point for 2025. We’re optimistic about synergy capture in the year ahead and we think up to $100 million will be realized in the year. Our midpoint assumes $85 million to $90 million of realization.
Tyler Brown: Excellent. Okay. Great. Okay. I don’t know if Tara’s there, and I apologize, but I just kind of can’t get the Waste Management sustainability contribution to foot, because I think last quarter you said sustainability was $92 million benefit year-to-date, but then in the release today, you said, again, $92 million for 2024. So, was there no incremental sustainability contribution in Q4 or am I missing something, which I probably am, but if I look at your table and allocate the recycling fees and the royalties, it looks more like EBITDA was up $110 million. I hate to throw that many numbers out, but maybe you’re following what I’m saying.
Tara Hemmer: I am in the room. Hi, Tyler, and…
Tyler Brown: Hi, Tara.
Tara Hemmer: Yes. You’re following the right math. There’s a couple things that are going on between the segments and what we report, and of course, on the recycling side of the business, a piece of it ends up in Collection and Disposal, and then you have the 15% royalty that flows to the Collection and Disposal business. What we really want to emphasize for 2025 is there’s a lot of tailwinds in both of these businesses that gives us a lot of optimism about what we’re going to contribute in 2025, $190 million coming from those growth investments and…
Tyler Brown: Okay.
Tara Hemmer: … like Jim said, if you look at how much we’ve delivered at the end of 2024, that’s going to roll into 2025 with the new R&G plants and the 12 recycling facilities, plus we have another eight on the R&G side in 2025. There’s a lot of positive impact that’s going to roll through the P&L.
Tyler Brown: Okay. That is helpful. Last question. This is for Jim or John, because it sounds like Collection and Disposal organic EBITDA is expected to be up something like 7% despite the C&D tax credit headwind. Obviously, that is super solid. You guys said back at your last Analyst Day, you’re a 5% to 7% organic grower, and quite frankly, you’ve got pretty tough comps, so that’s really good. Can you talk about the core dynamics, maybe the outlook for pricing, maybe more importantly, cost inflation and productivity, because it just feels like there’s a very solid price-to-cost spread in Collection and Disposal? Thank you.
Jim Fish: Yeah. So it’s Jim. I think you’ve highlighted probably the area that maybe we’re most proud of, which is the core business itself. We talk a lot about Stericycle and the sustainability businesses, which are exciting. But the core business, if you think about it, from 2022 to 2023 grew 7%, grew 10% last year, just the core and then we’re looking at another over 7% this year on the core. So well ahead of that 5% to 7% number that we gave way back in 2019. And that is coming, as you point out, really from several areas. We talk a lot about pricing, and our pricing team does a great job, but look, that cost-to-price spread is not just price. It is cost, and John mentioned it in his script, and John’s kind of a modest guy, but I mean, his team has done a spectacular job of taking that cost number. If you think about that OpEx as a percent of revenue coming under 61%, years ago, we kind of aspirationally talked about a 60% number and then kind of laughed in the room about that and said, yeah, well, that’ll never happen. We’re kind of scratching at that right now. We’re close. So a lot of the cost-to-price spread and a lot of the margin growth that you’ve seen in the business over the last few years and ultimately those growth -- EBITDA growth numbers that I just cited are coming on the cost side at the same time as we’re doing well on price. And I think once you start to see volume pick up, because volume has been pretty muted over the last couple of years, you really can see the core business taking off at the same time as the old Stericycle business, the new WM Healthcare Solutions takes off, and at the same time as the sustainability investments really start to add EBITDA and free cash flow.
John Morris: The only thing I would add, Tyler or Jim, to cover it all is I think a lot of the benefits you’re seeing play out in the middle of the P&L for WM. I think Rafa and the team are really excited to do the same with the WM Healthcare businesses. A lot of the processes and practices and technology advantages we’ve developed that we can lay right over the top of that business and start to drive some meaningful results, and Rafa can comment on that, but you saw in the press release our confidence around this synergy capture over the next handful of years.
Tyler Brown: Yeah. Perfect. So it feels like, call it, 4% yield in Collection and Disposal and maybe a couple percent unit cost inflation net of productivity, something like that.
John Morris: Yeah. I think what you saw from a spread perspective and it showed up in our OpEx and our EBITDA margins and our labor ratios, you’re going to see that. You’re going to see continued benefits into 2025.
Tyler Brown: Okay. Excellent. Thank you for the time, guys.
Devina Rankin: Thank you, Tyler.
Jim Fish: Thank you.
Operator: Thank you. Our next question coming from the line of Noah Kaye with Oppenheimer. Your line is now open.
Noah Kaye: All right. Thanks. I’ll pick up on Tyler’s line of questioning. Just the 2025 yield guide, 4% to 4.2%, obviously we’ve seen CPI come down a little bit. So just help us understand maybe the different components of core price and yield assumptions that you’re factoring in open market versus the sort of restricted index part of the business?
Devina Rankin: Sure. So at a high level, I think what’s really important on the core price to yield conversion, that’s something that we talk a lot about. And the commentary in John’s prepared remarks about what’s happening in the landfill part of the business is a really important example of that conversion. And what you see is it really comes down to business mix and that’s very good profitable business for us, but it does come at a lower yield because it’s a lower average unit rate than some of the rest of the network. And so the core price guide is 5.8% to 6.2%, a little lower conversion this year at 4% to 4.2% with business mix being one of the things that’s leading that.
John Morris: Yeah. I guess the only thing I would add is on the resi side, I mean, we’ve done such a great job on resi, but I was maybe a little surprised to even see this number myself. But Noah, when we look at, we’ve been going through this, call it a business improvement process with residential improve margins significantly in that line of business. And the number that surprised me was that 25% of our residential customers still have an even margin of zero or less. And sometimes we ask, what inning are we in in terms of this residential, I don’t know what to call it, cleanup, I guess. But if it’s 25%, then I was assuming we were kind of in the eighth inning. We’re probably more like in the sixth inning to use a baseball analogy and that all helps us on the price front.
Noah Kaye: Yeah. Helpful. Thank you. Stericycle, now WMHS, you previously, I think, did a nice job of bucketing the different areas where you were going to see those synergies. Can you maybe give us an updated breakdown now, obviously, between sort of going from $50 million to now maybe $100 million this year and going to $250 million overall, just kind of how does that break down? Where do the cost synergies come from?
Rafa Carrasco: Yeah. I think I can take a stab at that, Noah. This is Rafa Carrasco. I’m now leading the WM Healthcare Solutions business. So what I’ll tell you is the doubling of the synergy estimates is centered essentially around the same three buckets that we offered at the time of the acquisition. That was internalization, SG&A and OpEx, which we said at the time was about 33% each. Internalization is about the same value now, but we now see meaningfully larger SG&A opportunities and higher OpEx opportunities. Examples I’ll give you up on the SG&A side, optimization of the sales coverage, which we’ve already embarked on, on the shredded business. And on the OpEx side, we’ve uncovered new opportunities for consolidating recycling capacity in the network and then reducing fleet number while working on bringing the maintenance and repair in-house.
Noah Kaye: Yeah. Very helpful. Just one last one, maybe for Devina. You gave us some nice pieces around what provides free cash flow this year in the guide, but I’m just wondering if there’s any other moving pieces we could consider to bridge from EBITDA to at least operating cash flow. Maybe you can touch on interest expense, tax and some of the other items we would normally look at?
Devina Rankin: Yeah. So it’s going to be another great year of free cash flow growth. There’s a couple of points that I’d like to make. One is we always talk about EBITDA being the long pole in the tent with regard to free cash flow conversion and with almost a $1 billion of EBITDA growth expected in the year ahead, we’re going to have another great conversion to more cash flow from operations. The two things that will offset that are increased cash interest and we expect that to be $350 million to $400 million higher in 2025. And about $300 million of that is related to the Stericycle acquisition. The remainder is just timing related and so we had more of that pulled in, or we had more help from that in 2024, and you’ll have more of a run rate for a full year in the year ahead. And then on the cash tax side, it’s an interesting story because this growth in pre-tax income is fantastic and usually comes at a pretty high incremental cost from a cash tax perspective, but we’re seeing some offsets of that because we have a higher expectation for ITC in 2025. So total cash taxes will go up about $75 million to $100 million, and that’s the plus from higher ITC slightly offsetting the higher pre-tax income impact. And then the only other thing I would point to is working capital was a fantastic result in 2024, and we do think that some of the strong execution by the team on improving our key steps like DSO and DPO is what’s contributing to that, but some of it is also timing related, and we think we got some of that timing benefit in Q4 that’s impacting rollover into the first part of 2025, which is why 2025 may look a little muted in terms of the level of growth.
Noah Kaye: Well, thank you for all this, and I just want to say thanks as well for providing all the additional details in the release that the businesses obviously continue to transform and grow, and you’ve given us a lot of information. So appreciate it. Thank you.
Devina Rankin: Thank you, Noah.
Jim Fish: Thank you.
Operator: Thank you. Our next question coming from the line of Jerry Revich with Goldman Sachs. Your line is now open.
Jerry Revich: Yes. Hi. Good morning, everyone.
Jim Fish: Good morning, Jerry.
John Morris: Good morning, Jerry.
Devina Rankin: Good morning, Jerry.
Jerry Revich: I’m wondering, Rafa, I wonder if we could just talk about the commercial opportunity. Really interesting to hear about the synergy target moving higher without the commercial piece even kicking in yet. Can you just talk about how that looks to you given your route economics work on the core business? It sounds like there’s really significant runway there. Just can you talk about what ending of that process we’re at and what sort of contribution can you get by getting the right pricing on the right routes as you internalize the business?
Rafa Carrasco: Yeah. Jerry, hi. How are you? Look, what I’ll tell you is with respect to cross-selling, we virtually have nothing built into our existing 2025 contribution right now. That is something that the team, the joint team is engaged in evaluating and we see some of that actually coming in 2026, I should say. I can also tell you that with respect to kind of the routing, one of the important things we’re working on is driving P&L accountability down all the way into the business units. That’s something that didn’t exist at Stericycle before. When we do that, we’re actually going to also generate P&Ls by customer. That’s going to allow us to implement a discipline growth, discipline that we actually have already built into our WM facilities and that’s going to inform quality of revenue.
Jerry Revich: And Rafa the timeframe on that?
Jim Fish: Sorry, this is Jim. Just I want to kind of put an exclamation point on what Rafa said about cross-selling. He said we don’t really have anything in there in 2025 and it starts to ramp up in 2026. I would say that might be the single biggest opportunity we have over the long-term for this business. I’ll give a couple of examples. I’ve been in a couple of doctor’s offices recently, not for any health problems, but just for my physical, but in both cases, in one case, we were present, meaning WM Legacy Business was there, and Stericycle was not, and in the other office, Stericycle was there, and we were not. So both of those would be opportunities for cross-selling that we really haven’t fully baked into anything at this point, but we feel like is a big opportunity for us.
Jerry Revich: I’m glad you got the green light, Jim. In terms of the base business performance, I think we were all holding our breath this quarter for the group heading earnings because the last time commodity prices took a hit, we had a bit of a recalibration to go through across the sector. Now we’re looking at really attractive margin expansion, 2025 versus 2024. Can you just talk about how you folks are maybe taking a more aggressive approach to make sure you’re pushing pricing in the base business to compensate for potential downside risk and recycling feels like that’s part of what’s playing out here, but I want to make sure I have that right.
Jim Fish: Well, look, this is probably something everybody at the table could answer. We’re looking around going, do you want to take it? Should I take it? But I think the point here is such a good point, which is the base business and I made this point earlier, the base business is really the superstar in this report, and I think, as we look at pricing, we like the fact that our price team has developed a level of sophistication to be able to really price on a much more granular basis, so where you have customers, for example, that have had missed pickups or whatever, we’re able to say we’re not going to give those customers the same level of price increase. I mean, that level of granularity didn’t exist within the company several years ago. So I think the sophistication within the pricing group is palpable, and to Rafa’s point about pricing within Stericycle, I mean, I think we can take that same level of sophistication to the Stericycle business, but really in that 250 million that Rafa talks about, the large, large majority of that is really cost-related or internalization, and so there isn’t a whole lot. There is some, but not a whole lot in there with respect to price, so we feel good about price not only in the core business, but also with Stericycle, and I think I’ve talked a lot about cost. I will say one thing about cost, and that is that we talked about not replacing a certain number of positions several years ago, and we’ve been chipping away at that. I think through the end of last year, we’re up to about 2,500 positions that we’ve chosen not to replace. That spans different functional areas, but I think, John, it’s right. We have about another 1,000…
John Morris: Yeah.
Jim Fish: … coming. We’ve got two primary areas. One is recycling as we upgrade these facilities, but the other is these conversions from rear-load to ASL.
Jerry Revich: Got it. And can I ask, Tara, the landfill gas, really good to see the production coming online on schedule that you laid out last quarter. It looks like maybe the OpEx for MMBtu is higher in 2025 as you ramp that up. Is that right? Can you talk about that given the EBITDA ramp 2026 versus 2025 feels like that might be happening or maybe we’re not getting the full environmental credits? Can you just comment on if that’s what’s playing out on the numbers?
Tara Hemmer: It’s a great point, Jerry. And if you also look at our 2027 update and that updated range, it is driven by OpEx. If you think about our highest cost category within our renewable natural gas plants, it’s electricity. So, we are working very closely to figure out ways to reduce our power consumption and lock in on rates. So, that’s one item. We’re very confident in our gas curve. The team that John leads on the landfill side has done a fantastic job in optimizing flows. And we feel really good about the eight plants we’re going to bring online in 2025. But a really important note is that by the end of 2025, we will have all but two of our plants that have completed construction. We won’t necessarily see the revenue on that into 2026 because of timing on commissioning, but most of these plants are going to be done and completed. We have solid momentum there.
Jerry Revich: Super. I appreciate the discussion, everyone. Thank you.
Jim Fish: Thank you.
Devina Rankin: Thanks.
Operator: Thank you. Our next question coming from the line of Trevor Romeo with William Blair. Your line is now open.
Trevor Romeo: Hi. Good morning. I appreciate you taking the question. First, just going back to Stericycle, maybe more on the organic side, I was just wondering if you could maybe talk about the Q4 like-for-like performance from a revenue and margin perspective for Stericycle and then the 9% organic growth you expect for 2025 pre-synergies. Just to clarify, is that a revenue or an EBITDA growth number? And either way, could you kind of just talk about some of the drivers of that organic performance in 2025, especially if it doesn’t include any cross-sell benefits?
Devina Rankin: Sure. So when we look at the Stericycle performance in the fourth quarter, I think, like I said earlier, about $4 million of that was synergy capture and so the rest of it, you can look at being the performance of the business. And when we look forward to the growth that we will generate in the year ahead in the Healthcare Solutions business, 9% is a step change from what they’ve generated the last several years. And we see that step change as possible for two primary reasons, one being the asset network expansion with the McCarran facility coming online and the other being fleet optimization. They were underway with regard to some re-characterization of their fleet. They historically have used operating leases in order to fund their fleet. And they knew and had started to execute upon some opportunities to recapitalize that at a better cost and we accelerated some of that into the fourth quarter. And so we see the ability to reduce those costs by up to 30% in some instances by being able to have a better cost of capital for the organization and a more intentional approach to funding our fleet.
Rafa Carrasco: Yeah. And Trevor, this is Rafa. Devina covered it very well. The one thing I would add outside of OpEx and more on the revenue side is that we have now the ability to add, and in a couple of weeks, we’ll have every single one of the Stericycle contracts over $50,000 in annual revenue in our data mart. And then it’s going to allow us to better capture earned PIs that in the past had been overlooked and that it’ll prevent revenue leakage. So that gives us some confidence going into 2025 as well.
Trevor Romeo: Great. So it sounds like, just to clarify, the 9% is an EBITDA number, but the revenue outlook, you expect a little bit of an uptick there as well.
Devina Rankin: That’s correct. 9% EBITDA revenues in the range of 2.5% to 5%, depending on price execution and that revenue leakage that Rafa mentioned, with some offset on volume expected in the SIB business.
Trevor Romeo: Okay. Great. That’s good to hear. And maybe for my follow-up, I guess, on the -- going back to the Collection and Disposal business, maybe specifically the volumes, 0.25% to 0.75% expected for this year, I guess, what are some of the puts and takes in that outlook? And maybe specifically, how are you thinking about the more cyclical portions of that volume and how likely they could be to rebound?
John Morris: So I think Jim made it in his statement, his opening comments. I mean, with the administration change, we have some optimism there from a business perspective. If you start to break it down, though, Trevor, if you look at our landfill volume, specifically MSW and C&D, we had some good momentum there. Our special waste pipeline is strong. Our special waste results were solid through the year and we’re optimistic about that for 2025. The one I would highlight, Jim made a comment about, is our residential, the intentional shedding of 3.5%-ish of residential volume is part of that number and we’re going to continue to do that. As I mentioned in my prepared remarks, we’re getting close to 20% there on that business. We’re up 400 basis points. We’re down 900 routes. There’s a lot of benefits to us doing that and that’s part of what the volume calculation is. But if you kind of strip out that residential piece and look at the Disposal volumes and the commercial business, we’ve got good momentum there. And I think on the industrial side, we’ve seen some softness there. But as I mentioned in my remarks, we’ve got a team rallied around trying to look for opportunities where we have some capacity to bring some of that volume back at margins that are acceptable.
Trevor Romeo: All right. Great. Thank you all very much.
Devina Rankin: Thanks.
Jim Fish: Thanks.
Operator: Thank you. Our next question coming from the line of Faiza Alwy with Deutsche Bank. Your line is now open.
Faiza Alwy: Yes. Hi. Thank you so much. So, I wanted to first ask about the sustainability EBITDA. What I’m understanding is that some of that is in the Collection -- goes in the Collection and Disposal business, as opposed to the renewable energy and recycling business. So, I just wanted to get a sense of how much of the 7% increase in EBITDA out of $500 million is related to the sustainability project?
Tara Hemmer: So, first and foremost, for 2025, we’re going to deliver $190 million in EBITDA -- incremental EBITDA from our growth investments. And you’ll see when you look at the segments, we’re showing $150 million. What happens is with our renewable energy business, there’s roughly a 15% royalty that’s paid to the Collection and Disposal business. That’s really about the use of their landfill gas. And then there are certain fees that go into the Collection business related to recycling. Those are the key elements.
Faiza Alwy: Okay. Okay. Understood. And then I was hoping if you could help us with some of the quarterly cadence as it relates to various items. And what I’m thinking of is the buildup of synergies on Stericycle, and maybe your assumptions around some of the commodity costs that you laid out, whether it’s the natural gas and the OTC pricing.
Devina Rankin: Sure. I can take this. And what I would say is you can think about it in the three pieces and it’s the traditional solid waste business. We actually expect some margin pressure in the first half of the year, because if you look at 2024, Q1 is our toughest comp on a year-over-year basis, as we saw some of the momentum with regard to automation in particular take hold. And so, we would say from an earnings growth and margin perspective, Collection and Disposal may look a little more muted in Q1 in particular, but first half. And then in the Stericycle business, you will expect that the ramp of synergy capture will be more significantly weighted towards the second half of the year. So, I would say that the earnings growth, you’ll start to see more of that momentum as we get into Q3. And then on the sustainability businesses, because of the impact of recycling commodity prices, we actually see more of the pressure -- downside pressure, associated with recycling commodity prices being in the first half of 2025, because of the year-over-year comparison.
Faiza Alwy: Great. Thank you. If I could just sneak one more in. I wondered you mentioned the ITCs. I’m curious if you’re anticipating a change in that, just given the new administration and the changes around the IRA and funding related to that. Should we anticipate any changes there?
Devina Rankin: We certainly do not expect any changes. We are watching everything closely, but based on our interpretation of where those decisions will get made, we think that those ITC benefits are secure. That being said, I think it’s really important to remind everyone that we made our capital investment decisions for our renewable natural gas business before the IRA was in place, and the payback period of three years excludes the incremental benefit that we get from that ITC. So, it really speaks to the significant return profile of this business, irrespective of that incremental benefit.
Jim Fish: We also, as Devina said earlier, there’s that $60-plus million, $63 million, I think, is the exact number, on the alternative fuel tax credits that we did not put in. Similarly, if bonus appreciation came back, that would be something that we have not put in, and that would be an even bigger number, something north of $100 million. So, we’re not sure what to expect there. It’s a bit of TBD, but we did put in the investment tax credits, we feel strongly that those will remain.
Faiza Alwy: Great. Thank you.
Operator: Thank you. Our next question coming from the line of Kevin Chiang with CIBC. Your line is now open.
Kevin Chiang: Hey. Good morning. Thanks for taking my questions and I echo the thanks on the disclosure here. It’s very helpful. Maybe I missed this earlier. You talked about, as you look past 2025, some of the revenue synergy opportunities, that’s a significant long-term opportunity. Did you disclose the percentage or note the percentage of, I guess, healthcare clients that might use WM today, but not Stericycle or vice versa, just to get a sense of maybe how big that cross-selling opportunity could be?
John Morris: Yeah. We’re still kind of assessing that. I don’t know, Rafa, if you...
Rafa Carrasco: Yeah. I was just going to say, no, we’re still in the process of assessing that. I mean, we see the opportunity looms large, and we were concentrating, frankly, on making sure that we merge the right commercial teams. We’ve actually placed a number of our WM sales and commercial leaders atop some of those functions now, and we’re particularly excited, because we see a lot of parallels between what we can accomplish in cross-selling with Stericycle and their customers and what we’ve been able to do with national accounts, which, as you know, has grown at a double-digit pace over the last five years for us.
Kevin Chiang: That’s helpful. Sounds like an exciting opportunity. And maybe just, I know you touched on this a little bit, just the, I guess, the residential volume trend and some of the intentional shedding. When I look at the growth rate, it did take a bit of a step down in Q4 versus the previous quarter trends. Just wondering, can we attribute that incremental delta to that intentional shedding? Are you kind of accelerating that, given the inning you find yourself in, in terms of the opportunity? And I guess in terms of what that volume trend looks like more specifically in 2025, does it kind of look like the down 3% we’ve seen on an annual basis or maybe more like what we saw in Q4 with maybe a four-handle in front of it there?
John Morris: I would tell you, Kevin, that business can be a little lumpy, if you lose a…
Kevin Chiang: Okay.
John Morris: … contract and I could certainly follow up on Q4. But no, I think, what you heard from Jim and I both is that we think that 3% to 3.5% range through 2025 and probably through 2026 is probably what we can expect. But again, I think what we would highlight here is, when you look at it, we’ve reduced 900 routes over the period. We’ve improved margins this year by 400 basis points. It’s been a shining star, which we haven’t been able to say in a long time in our Collection business. So I think from a return standpoint, from a margin standpoint and from -- I mean, all the other benefits we get from safety and service and whatnot, we’re going to continue on that path for the time being.
Jim Fish: Well, just so we’re clear on how this actually happens with these residential customers, we don’t go fire anybody. But what we do is when a contract comes up, if the margins aren’t acceptable, if they’re at flat or whatever, we just bid it at a price that would be acceptable to us and in many cases, we end up losing it and that’s okay if we lose that business.
Kevin Chiang: That’s great color. Thank you very much and congrats on a good quarter there.
Jim Fish: Thank you.
Devina Rankin: Thank you.
Operator: Thank you. Our next question coming from the line of Konark Gupta with Scotiabank. Your line is now open.
Konark Gupta: Thanks, Operator. Good morning, everyone, and congrats on doubling the synergies. You’re good to see that. I just want to get back to the Stericycle or Healthcare business. Your guidance is, I guess, directionally suggesting about $2.6 billion revenue and $460 million in EBITDA in 2025. If we use that as a baseline, how do you guys envision the growth in that business, obviously, including synergies over the next two years, three years, especially when you compare that to what Stericycle was looking at pre-acquisition at about 13% to 17% CAGR in EBITDA?
Devina Rankin: So I would tell you it’s difficult for us to specifically indicate the long-term growth rate and that 13% to 17%. We certainly always had our eye on when we were going through diligence processes, but also weren’t seeing the prior team create strong traction on delivering that consistently at this point. Though we do see that we’re on the doorstep of a step change in the growth profile of this business. It’s too early to indicate a specific growth rate. 2026 will be a big year for us, though, in terms of synergy capture and ensuring that we take the customer-centric approach that WM has and leveraging that for topline growth. You can see that 2025 is a year of still pretty moderate topline growth for this business. We expect to see a step change in that beginning in 2026.
Jim Fish: And one thing to add here, we hope to be able to give you some additional color on this on Investor Day in June. We’re really a little bit less than three months into this, having ownership of it. So I think Rafa and team have done a great job of identifying these opportunities, being able to bump the synergies from $125 million to $250 million. But by the time we get to June, I think we’ll have even a little bit better insight into what 2026 looks like, what the remainder of 2025 looks like, if there’s any revisions to synergies, than what those might look like. But for now, we’re super excited about how this thing is really starting to take shape.
Rafa Carrasco: Hey, Konark, maybe I’ll add one more thing, because I mentioned earlier that we saw a significant amount of incremental value coming from SG&A on the synergy side. And when we first started talking about this post-acquisition, we were talking about aiming initially to take this business down to SG&A as a percent of revenue in that sort of 19% range, which was already a significant improvement over the 24%, 25% that the business has historically showed. I think right now, what we have line of sight on, we’re already going to eclipse that number and we have our target set on 15% and beyond. I mean, as you know, we’re hovering our own SG&A as a percent of revenue under 10%, and ultimately, we would like to get there. Now, that’s going to take some time. But if you think about the question you asked about growth, that’s an important element as well.
Konark Gupta: That’s great. I appreciate the color on that. And I didn’t want to front-run the ambassador here for sure. So I look forward to that. Just getting on the Stericycle team here, they had some ERP challenges or transition they were going through last year in 2024. Can you help us understand how are you kind of tackling that situation and how much of that ERP cutover is baked into your expectations?
Devina Rankin: Sure. So what’s really important for us is using technology to optimize our processes and our people. And what we see in the first three months of being part of this -- having the Stericycle team part of Team WM, is that they focus more on the technology itself and not so much on the change management and operational connectivity that needs to exist with new systems. And so, our team is laser-focused on bringing together the total of the impact of technology on how you run a business. And so, we’ve got a team that’s focused on data quality, focused on process redefinition and bringing all of that together. We expect 2025 to be another year of investment in the ERP and while that’s not specifically provided for in the earnings, we currently expect that we would spend around $35 million to $40 million on incremental spend for this initiative in the year ahead. We don’t know the split between capital and expense for that, so that’s a TBD. But that’s another reason that the step change going into 2026 is something that we’re so bullish about.
Konark Gupta: That’s great. Thank you, Devina. And one last one for me just on the leverage side. It seems like you’re expecting 3.1 times at the end of this year. That’s down from, I guess, 3.5 times or 6 times last year. Is that a good sort of run rate you expect in terms of deleveraging? And so, you might be closer to 2.5 times, perhaps, by the end of 2026, maybe?
Devina Rankin: It’s a great question. And what I would tell you is our long-term target is 2.5 times to 3 times. We think that that’s optimal for our business in order to provide plenty of dry powder for strategic opportunities like acquisitions when we see them. With the cash flow generating power of the business, we expect to use some of our free cash flow to reduce debt in 2025. That said, if we see outsized tech and acquisition opportunities relative to the $100 million to $200 million that we included in our guidance, you could see some moderation in that level of debt reduction. While I’m not prepared to specifically tell you where we finish in 2026, I think that what you hear is the momentum in earnings growth, both from the core sustainability and our Healthcare Solutions business, will provide an organic approach to deleveraging that really is fundamental to how we get back to that target range.
Jim Fish: Maybe one last point on the ERP. The team that we have working on it, which is a fantastic team, has identified something in the neighborhood of $150 million in cash improvement. That probably doesn’t happen until early 2026, but that’s an opportunity for us that we haven’t baked in anywhere as you reduce these receivables that are outstanding. So, it’s really a DSO improvement, but it could be as high as $150 million, maybe even more that we think is out there for us.
Konark Gupta: Great. I wish the guys all the best. Thank you.
Devina Rankin: Thank you.
Operator: Thank you. Our next question coming from the line of James Schumm with TD Cowen. Your line is open.
James Schumm: Hey. Good morning, guys.
Jim Fish: Good morning.
James Schumm: Most of my questions have been answered, but regarding R&G, can you update us on what are the most significant delays you’re facing at the moment? Any change there?
Tara Hemmer: We haven’t updated any of our projections since our last call. Like I said before, by the end of 2025, we’ll have all but two of our plans completely constructed and then the other -- the remaining two in early 2026, in the first half of 2026. So, we’re on track.
James Schumm: But presumably, right, what are the delays? In the past, I think you had some delays getting an interconnect with. Is that still an issue or what’s happening there?
Tara Hemmer: Yeah. So, in the past, we had mentioned that two of our biggest issues were interconnects with utilities and then some final permits. We’ve worked really closely on utility interconnects and we have line of sight into when those will complete. So, we feel more confident today than we did in the past.
James Schumm: And then on the ITC, you gave guidance there. Did you get shovels in the ground for all 20 projects by the end of 2024, such that you believe you will receive the ITC in 2026 as well?
Tara Hemmer: Yes. Yes. All 20 projects, other than the two in Canada, will be eligible for the ITC. So, we feel confident that we…
James Schumm: Okay. Great. And then just lastly -- sorry, Devina. Go ahead.
Devina Rankin: Well, super quickly, we’ve also focused extensively on domestic content in building the facilities so that we maximize the amount of the ITC. So, our long-range target had been $250 million to $350 million for ITC benefit and when you look at the $220 million in 2025, plus the $135 million that we captured in 2024, you can see that we’re actually going to exceed the previous range that we had committed.
James Schumm: Right. Okay. Thanks. And then just lastly, so, I guess, you still have a lot of work to do on the remaining projects, but do you have a lot of incremental R&G opportunities beyond the 13 or so that you’re working on right now? And I know it’s a bit off into the future, but as it stands now, do you think you’d own and operate these additional projects or is that something you’d look to engage in a joint venture for those?
Tara Hemmer: So, we are tracking a whole host of opportunities beyond these first 20 plants and we have more landfill gas that we could put to use, whether it’s power projects, R&G projects and the team is actively looking at what the future could look like. We haven’t made any decisions yet on where we had and that’s to come. We could look at partnerships with others or doing them ourselves. I think the most important thing to remember is we’ve maintained control of these assets and we’ve maintained optionality and that’s a good thing.
James Schumm: Right. Okay. Great. Thank you guys for the help. Appreciate it.
Jim Fish: Thank you.
Operator: Thank you. Our next question coming from the line of Sabahat Khan with RBC Capital. Your line is now open.
Sabahat Khan: Great. Thanks and good morning. Just a couple of quick ones. Just to start off, I guess when we look at the volume assumption here for 2025, I guess, what’s the underlying view on the macro for the rest of the year and maybe more specifically on some of the more industrial or cyclical volumes that have been a bit challenging for the sector over the last few years? Thanks.
Jim Fish: Yeah. I think you’ve highlighted the industrial side, which has been the slowest segment overall for us. And I mean, if you look at industrial production in the U.S., you could argue that we’ve been kind of in somewhat of an industrial recession over the last few quarters and our numbers have reflected that. We’ve been soft on that front. I mean, the two areas where our volume has been softest are the one that John’s talked a lot about this morning, which is residential, and that’s really intentional. And then the one that’s not intentional is our industrial halls and those have been soft. And I would tell you, honestly, we’re not expecting a big rebound in those in 2025. Love to see it. And as John mentioned, we are cautiously optimistic about what the new administration brings with respect to business growth, but we haven’t baked anything in along those lines. I will say that the landfill line of business has been kind of the superstar here for us with respect to volume. John mentioned MSW has been strong. He talked about our special waste pipeline is good as well and that’s starting to pick up. So we just had our quarterly reviews with all of our area vice presidents and they were speaking pretty optimistically about special waste. So I would tell you that volume is -- we’re being, I think, fairly cautious at that kind of 0.25% to 0.75%. But should things start to pick up on the industrial side, I think you could see that number exceed.
Sabahat Khan: Great. And then there’s a bit of discussion earlier about the commodity prices. Just apparently there’s been some clogging at the port, some evolution in the demand environment. Just a bit more color on what’s baked into your 2025 commodity price assumption, if you just put a finer point on that, and how cautious or how much of a recovery is built into that assumption for the rest of this year?
Devina Rankin: So our assumption for recycled commodity prices is $85 a ton, which is down slightly from 2024 at $92 a ton. Here’s what’s important to note. Exiting December, commodity prices were around $80 a ton and that has been the bottom of the trough. If you look at January, we’ve already seen an uptick. And the good news is we were tracking very closely the January potential for a port strike and that did not happen. So we’re seeing great movement on commodities. Also, now that we’re seeing generations slow down post the holidays, should provide some good structure for prices to improve. So the way that we’ve modeled it is moderate increases throughout the year.
Sabahat Khan: Great. Thanks very much for that.
Operator: Thank you. Our next question coming from the line of Bryan Burgmeier with Citi. Your line is now open.
Bryan Burgmeier: Good morning. Thank you for taking the questions. I just have two very quick ones. One, I appreciate the updated earning sensitivity in the press release to recycled commodity prices. I was just wondering as recycling earnings really step up over the next couple of years, do you think the earning sensitivity will kind of scale with earnings growth or do you think the new earnings will rely maybe more on processing fees as opposed to the commodity prices? Just overall thoughts on your sensitivity to commodities as recycling maybe steps up a lot in the next couple of years?
Devina Rankin: Absolutely great question. And I think what’s important to remember when we’ve made these investments in these automation facilities is much of the benefit comes outside of commodity prices. If you look at the automation benefit through 2024, we’ve automated over 850 rolls out of the system and that really has nothing to do with commodity prices. So that’s the benefit that’s going to run straight to EBITDA independent of revenue. And then we’re getting a price premium on what we produce. I was at our Westside MRF a couple of months ago. And how clean our cardboard is coming out of those plants, we’re able to get a price premium. So those are two aspects that are really independent of commodity prices. The other thing that I think is really important to note, and we were looking at this week, is we spent a lot of time making sure that we evolve our fee-for-service model and that we get paid first for processing. So we’ve created sort of a floor when you think about it when commodity prices decline. So the range here is not going to scale as we grow our volumes in the same way. It certainly will go up a little bit, but not at the same level that you would expect.
Bryan Burgmeier: Got it. Got it. That makes sense. Thanks for the detail. And last question for me, and then I can turn it over, is just your solid waste internalization, I think, exceeded 70% this quarter. I think that’s like an all-time high. I was just curious if that’s maybe higher than what WM was originally expecting or did you always see potential for 70% plus maybe after the advanced Disposal acquisition? Do you consider yourself maybe fully optimized or penetrated at 70%? Just broader thoughts on internalization moving forward? Thank you.
Jim Fish: That’s a good question, Bryan. I mean, I would tell you that we’re constantly focused on trying to find ways from a cash-on-cash basis to put the volume in the right facilities. You’ve heard me and the rest of the team talk a lot over the last handful of quarters at least about the value of our network, not just the landfills. Our logistical capabilities, I mentioned in my prepared comments, that we opened up another rail operation in the Midwest. We continue to look for intermodal opportunities and I think that’s what’s driving it. We’ve got great positioned assets and part of the group, our network planning team, has been doing a great job of building out those capabilities, and I think that’s what you’re seeing in our internalization rates.
Operator: Thank you. Our next question coming from the line of Tobey Sommer with Truist. Your line is now open.
Tobey Sommer: Thank you. If you look at the margins and returns on your existing R&G and recycling, how do those compare with your April Investor Day from almost two years ago? What if you could kind of discreetly isolate the drivers of the delta, should there be one?
Tara Hemmer: So, our returns are tracking pretty closely to the Investor Day. The biggest thing when you look at EBITDA flow through on our R&G business, it really is about 75% and that’s what we’ve been seeing. The biggest change really has been our capital has increased and we’ve been pretty transparent about that, but still within that three-year range that Devina had mentioned. On the recycling side, we’re right there on what we modeled, not a whole lot to say there other than these investments have really helped us with new customers. We’ve done that in Canada where we’ve been able to leverage these investments to build new facilities there and we’ve gotten new contracts as a result of these investments. So, we’re seeing opportunities for more volume to come into these plans.
Tobey Sommer: Thanks. And as my follow-up, I was wondering if you could talk about immigration and whether that matters to the company in the industry, because there’s been some discussion that smaller local players may employ some illegal immigrants at subpar compensation. Is that a sort of relevant change for your business?
Jim Fish: I don’t really think it’s relevant to us and I can’t really comment on anybody else, but I mean, all of our employees are documented and we pride ourselves on paying a good wage for all of our employees. So, I don’t -- I can’t say much else about others.
Tobey Sommer: Thank you very much.
Jim Fish: Yeah.
Operator: Thank you. Our next question coming from the line of Brian Butler with Stifel. Your line is now open.
Brian Butler: Hey. Good morning. Thanks for fitting me in here.
Jim Fish: Go ahead.
Brian Butler: Quick one, just on the incremental sustainability, that $190 million you talked about, how should we think about that flowing through on the quarters? Is that going to be more backend weighted or pretty even?
Devina Rankin: So, the way to think about it on the R&G side, we’re going to have the rollover impact of the plants that completed at the end of 2024, those four plants, because we had minimal impact of those in 2024. Then we have three of the eight that would really show earnings in the first half of the year, and the other five in the second half, which are really more back loaded, I would say, into Q4. On the recycling side, what we’ve seen, again, the rollover impact of those automation investments in 2024 and we also have some benefits. We’re going to have less shutdown costs in 2025 than we did in 2024. So, it’s a bit more of an even distribution.
Brian Butler: Okay. That’s helpful. And then on the RIN pricing, you gave your sensitivity, which is super helpful, but from a strategic perspective, how are you thinking about locking in those contracts kind of longer term, especially considering the potential for the volatility here under the new administration? Maybe just kind of your thoughts on where you’re kind of doing the strategy on dealing with what could be some volatility in RIN prices?
Devina Rankin: Sure. So, first, the team did a fantastic job of locking up about 50% of our projected sales for 2025 and that is a mix of the voluntary market, and they had pre-sold some 2025 RINs at $2.70. So, they were very opportunistic in being able to do that and we feel confident that for 20 -- the balance that we have to sell, if you look at where the market is today at about $2.40, that we should be able to do that. We’ve always talked about taking a proactive approach at getting more towards that 80-40-20 split, where a year out, we would have 40% locked up and a year from there 20%. Right now, we have about 15% of our future years locked in and we have some, I would say, pretty robust activity on the voluntary market side. There are players out there who are really looking to decarbonize and we’re going to balance that against the fact that we have a fleet of CNG trucks where we can generate RINs and make sure that we’re monetizing the whole portfolio in the right way.
Brian Butler: Great. Thanks for taking my questions.
Operator: Thank you. Our next question coming from the line of Toni Kaplan with Morgan Stanley. Your line is open.
Toni Kaplan: Thanks so much. I wanted to ask about the resi shedding. I’m just wondering, were these contracts that were inherited from acquisitions or were they just signed a long time ago and something changed in the markets? I just wanted to understand the rationale for why these contracts are not that profitable anymore?
Jim Fish: I think, Toni, it’s a few things. I don’t think it’s necessarily acquisitions, although I’m sure we acquired a few that were underperforming, but I think it’s a few things. I think it’s, one, you’ve seen inflation, you’ve seen labor inflation and that was always most prevalent in our residential line of business. So I think we’ve seen more cost pressure because of the labor intensity in that business and we’re offsetting that by changing the model and automating that, driving out a lot of labor, a lot of risk. And it’s a portfolio approach. It’s not in any one particular segment of business. In terms of its contracts that are one year to three years in duration, three years to five years, five years to seven years, I wouldn’t say it’s any particular length. I would tell you we’re a lot more cautious when it comes to anything over three years to five years when we are making our assumptions on what that’s going to look like. The saying I have is I don’t want the best day to be the first day of any of those contracts.
Toni Kaplan: Great. Got it. And then, just -- I know it’s still early, but could you talk about the potential impacts from the California wildfire cleanup on your volumes and just wanted to confirm that there’s nothing in the volume guidance from that at this point, and that would be upside? Thanks.
Jim Fish: Yeah, Toni. I mean, first and foremost, I was actually out in California with our team over the weekend. The good news is that our folks are all safe, and as of the other day, nobody had been displaced, which we’re thrilled about. Our operations are safe. In terms of any benefit, the folks in Southern California are assessing that right now. There may be a little bit of upside they’ve put in there, but when you look at our guidance for the $500 million for the solid waste business, there’s really nothing meaningful in there at this point.
Devina Rankin: We have included about a 0.5 point of volume in our revenue guide for the year and there is the flow through of that, both included in EBITDA dollars and margin.
John Morris: I think it’s also important. It’s such a good question about these natural disasters, but we -- in looking back over the last decade, probably three years out of every five years, we see something. The difficulty is you can’t predict it, so whether it’s tornadoes in the Midwest or hurricanes in Florida or fires in Northern or Southern California, whatever it is, probably 60% of the time, something is happening. 2024 was an example of a year where not that there weren’t any natural disasters, but we really just didn’t see a whole lot of volume from those disasters and so had we put something in initially, we would have been running uphill. 2025, we likely will see some impact, but again, it’s very difficult. It’s impossible to predict any of these, and therefore, we don’t factor it in initially and it ends up being either upside for us in the year that it happens or something we have to recapture and work against in the years where we don’t have it.
John Morris: Yeah. The last point I make, Toni, is I think our folks and our assets are very well positioned to help all those communities get back on their feet when they’re ready to reach out for that help.
Toni Kaplan: Terrific. Thank you.
Operator: Thank you. Our next question coming from the line of Tony Bancroft with Gabelli Funds. Your line is now open.
Tony Bancroft: Thanks so much, Jim and team. Congratulations on all your success. Great quarter. Just want to ask, and I was on another call, so just please stop me if it’s already asked, but just with regards to the Healthcare Solutions business, obviously, you’re highlighting that. It seems like there’s a lot of potential growth going on there. Could you maybe remind us again or just sort of walk through what sort of competitors, are there other large regional competitors? I know there’s a lot of ones and twos out there like you were sort of talking about, but maybe sort of define that market a little bit since it seems like that’s somewhere that you could have some more transformational growth?
Rafa Carrasco: Yeah. Tony, this is Rafa. What I can tell you about that is, I mean, obviously, when we set our sights on Stericycle s because they had the most comprehensive network of assets out there and the largest portfolio of customers. Really we didn’t look around to see who we were going to competing with necessarily. That comes with the territory, as we kind of assess the ability to cross-sell and all that, but we’re focused on really maximizing what we acquired and making sure we synergize properly and introduce a lot of customer centricity to something that maybe was lacking, a discipline that was lacking back with Stericycle s.
Tony Bancroft: Thanks. Great job.
Devina Rankin: Thanks.
Jim Fish: Thank you.
Operator: Thank you. Our next question coming from the line of Harold Antor with Jefferies. Your line is now open.
Jim Fish: Yeah. Harold.
Operator: Please check your mute button.
Harold Antor: Hello. Sorry. Double muted. I apologize. Yeah. Just is labor turnover has been -- labor has been something that’s been talked about on several of these calls, so just getting an update on what labor turnover is now, when inflation isn’t running in the business, and I think, you said, you have another 1000 jobs expected to be made redundant over the period of time, so just wanted to get an update on what those stats are turning out now and then. What’s implied in the guide in 2025?
Devina Rankin: I’ll take this quickly, and then John can add some color. Basically, from a frontline labor perspective, we’re exiting 2024 with a 300-basis-point improvement in frontline turnover. It’s the best in our history. So frontline turnover had actually achieved about a run rate of 15%, which is fantastic. And then when we look at wage inflation, while we are seeing top CPI inflation abate, generally speaking, we do think wage pressure continues to be above CPI and we expect wage pressure to be in the 4% to 5% range for the year ahead.
John Morris: Harold, I think the only thing I’d emphasize, Devina gave you a good answer, is the, and that’s why you hear us talk about automation and our investments in technology are going to make us less labor dependent. That’s why it’s so important in the short-term and candidly over the long-term, because I don’t think we see anything on the horizon that would suggest that the labor pool that we’re searching for is going to be that much more plentiful in the next year or the years after that. So it reinforces our commitment to those investments.
Harold Antor: Thank you. Thank you for the call. That’s all for me.
Devina Rankin: Thank you.
Operator: Thank you. Our next question coming from the line of David Manthey with Baird. Your line is now open.
David Manthey: All right. Thank you. Just quickly on the Stericycle math here, if you did $61 million in EBITDA in the fourth quarter, that implies a $90 million run rate, which I guess implies roughly a $360 million run rate for 2024. You’re guiding to $460 million by the -- by backing into the math there in 2025, including the $100 million in synergy. So question, are you defining all Stericycle improvement as synergy? And maybe a better way to ask is just what, what’s the 2024 pro forma EBITDA you’re assuming for that the Health Solutions business based on the WM definition of EBITDA?
Devina Rankin: Sure. So basically the $61 million in Q4 included $4 million of synergy capture. When you adjust for that, it implies a full year EBITDA number on a WM measured basis of around $350 million for the business. We’re implying a 9% growth rate that’s expected on the base business and then $85 million to $90 million of synergy capture. All of that together brings you to the $460-ish million of EBITDA that we’re projecting in the year ahead.
David Manthey: Very clear. Thank you.
Devina Rankin: Thank you.
Operator: Thank you. I will now turn the call back over to Mr. Jim Fish, President and CEO for any closing remarks.
Jim Fish: Okay. Well, thank you for your excellent questions this morning. We hope you’ll take in our WM Phoenix Open next week. You can catch us on the Golf Channel and CBS. There’s my plug for that and we look forward to talking to all of you again next quarter. Thank you.
Operator: This concludes today’s conference. Thank you for your participation and you may now disconnect.